Operator: Ladies and gentlemen, thank you for standing by and welcome to Shawcor's Fourth Quarter and Year End 2020 Results Webcast and Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to introduce External Communications and ESG Director Meghan MacEachern.
Meghan MacEachern: Good morning. Before we begin this morning's conference call, I'd like to take a moment to remind all listeners that today's conference call includes forward-looking statements that involve estimates judgments, risks and uncertainties that may cause actual results to differ materially from those projected. The complete text of Shawcor's statements on forward-looking information is included in Section 5.0 of the fourth quarter of 2020 Earnings press release that is available on SEDAR and on the company's website at Shawcor.com. I'll now turn it over to Shawcor's CEO, Steve Orr.
Steve Orr: Good morning, and thank you for joining us on this morning's conference call. This morning, Megan, Gaston and I are joined by Mike Reeves. Mike joined Shawcor in the role of President with responsibility for all operations in March. Mike's expertise, experience and leadership are outstanding additions to the company. I look forward to working with Mike to drive performance and shape the future of Shawcor. I'll start my remarks by acknowledging the support and dedication of the employees of this company. The current environment in which we all find ourselves is truly foreign and very dynamic. I'm continually impressed and appreciative of how well the employees of Shawcor are able to adapt and execute in such times. I wish for all of them and their families to stay healthy. Yesterday, we released our Q4 2020 results. Adjusted EBITDA for the quarter was $46 million on $326 million of revenue. The financial results delivered exceeded what we were expecting with adjusted EBITDA before COVID-related government assistance of $40 million, surpassing the $25 million to $30 million range that we communicated in our last quarter call. The step up and results from the previous quarter was supported by continued strengthening in the company's non-oil and gas related businesses, and the return to profitability across our oil and gas related businesses especially offshore pipe coating. The better-than-expected results can be attributed to three primary elements. The first was the overall higher-than-expected demand for a book and turn products and services across the portfolio. This was particularly visible in our automotive and industrial segment where we did not see any of the usual seasonal slowdown, but rather a continuation of recovery we experienced in Q3. The second element that contribute to our better-than-expected results was from pipe coating project work that was executed with limited schedule interruptions resulting in plant utilization increases. The final element was the positive impact in performance of actions we have taken to reduce the overall administrative cost burden of the company. These actions that have gained traction are moving faster than we had anticipated. Some additional color on the quarter. The sale of the Pipeline Performance products business in late December, coupled with our actions directed to reduce costs and reserve cash has greatly enhanced the strength of our balance sheet. In terms of progress on cost structure, total salary workforce reductions from the start of the year are now greater than 22% and progress was made to position several additional pipe coating facilities serving the international market for closure. As expected, the pressure associated with dual impact of COVID-19 global pandemic and the reduced capital spending of E&P operatives certainly remained visible in Q4. However, we are starting to see real tangible signs from our customers that they are gaining the confidence required to increase their spending going forward. This includes the depressed oil and gas upstream land market in North America and spending on stalled projects that ready to be sanctioned in early 2020 for developments in the oil and gas international offshore markets. I believe our approach of focusing on what we can control, ensuring that we put our full attention and energy into a very narrow set of priorities has been critical in improving the position of the company and managing through a period of unprecedented uncertainty. As we have communicated in past quarters, the priorities for the companies were: number one, protecting the health of our employees; number two, delivering the products and services needed by our customers; number three, straightening the balance sheet through cost reductions and conserving cash. With the anticipated spending increases from our customers and project sanctioning in the very near future, we must add a fourth priority: to ensure we capture our share of the work that may be contracted over the next three to six months. Looking into Q1 2021, we expected that we will continue to see solid positive results but not at the Q4 2020 level. Pipe coating is not expected to be at Q4 levels and Q1 is a seasonally low quarter for several businesses, such as competent tanks and engineering consulting. These factors are expected to result in Q1 being the lowest financial performance quarter for the year. Additionally, we experienced increased COVID-induced supply chain and production events early in the quarter and there will be an impact related to the winter weather in Texas. These events have increased the likelihood that work will be [ph] pushed out of the first quarter. For the full-year of 2021, we expect that our book and turn businesses will see continued gradual improvement in demand, the work we have secured will be executed and that we will see a real tangible benefit from the cost we have already taken out are in the process of taking out. Although the quarter-on-quarter performance will vary due to pipe coating project execution timing, yearly seasonal elements and COVID-related events, overall we expect our annual financial results will be better than we delivered in 2020. This improved outlook is before any support from COVID-related government subsidy programs in the year. One additional comment, 2021 annual financial results could be even better should the recent momentum we are now seeing in offshore projects continue, North American completion activity accelerates faster than expected and/or stimulus spending increases demand for our products and services, servicing non-oil and gas related sectors. Beyond 2021, I would again highlight as I have in past quarters, is difficult to forecast. However, we are confident that our diversified portfolio, which has both early and late cycle oil and gas exposure and a growing non-oil and gas component has positioned to come into whether the current storm and emerge a stronger more profitable organization as spending continues to recover in energy, transportation and infrastructure markets. Mike and I will provide more detailed comments later in this morning's call. But before we do, I'd like to turn the call over to Gaston Tano, Shawcor's CFO to discuss the numbers.
Gaston Tano: Thanks, Steve. as Steve mentioned earlier, operational results from the current quarter surpassed our expectations, despite the ongoing COVID-19 pandemic and the volatility of the oil and gas market. Consolidated revenue in the fourth quarter was $326 million, 3% lower than the fourth quarter of 2019. The pipe and pipe services segment revenues increased by 1% compared to the prior quarter, primarily due to higher pipe coating project activity in the EMAR region, reflecting the execution of the Baltic Pipe Project and higher activity levels in the Asia Pacific region. This increase was almost entirely offset by the lower activity levels in North America, resulting from the lower demand of pipe coating and girth weld inspection services as a result of the significant capital spending cuts by North American EMP operators, continued delays in land transmission line projects and the completed closure of the U.S. land pipe coating facilities during the year. The competent system segment revenues decreased by 19% compared to the fourth quarter of 2019, primarily due to the continued lower demand for our competent pipe products as a result of the continued capital discipline focus of North American EMP operators. This decrease was partially offset by higher demand of our composite tank products as the business continues to focus on execution of its backlog and benefits from the solid demand in the retail fuel tank market and increased North American infrastructure spending. In the automotive and industrial segment, revenues were higher by 16%, primarily due to strong demand for automotive heat shrink products, resulting from OEM assembly plant in Tier 1 suppliers increasing capacity levels and restocking inventories, coupled with increased shipments for wire and cable products in North America. On an annual basis, consolidated revenue in 2020 was $1.18 billion, a decrease of 21% over 2019. The pipeline and pipe services segment revenues decreased significantly over the prior year, primarily due to lower revenues in North America, reflecting lower demand for pipe coating and girth weld inspection services and the complete closure of several U.S. pipe coating facilities during the year. The segment's performance also reflects lower pipeline activity levels in Latin America and EMAR, partially offset by higher levels in Asia Pacific. The composite systems segment revenues decreased by 23% compared to the prior year, as a result of a lower demand for composite pipe products related to the ongoing COVID-19 pandemic and the continued capital discipline focus of North American EMP operators, partially offset by the sustained solid demand for composite tanks business in the retail fuel market. The automotive and industrial segment revenues decreased by 6%, largely as a result from the majority of global automotive OEM assembly plants temporary halting production and sustain operations in the first half of the year as a result of the COVID-19 pandemic, while demands started to increase in the second half of the year as OEM assembly plants in Tier 1 suppliers increased capacity levels and restocked inventories. Consolidated results for the fourth quarter in the year were impacted by nonrecurring items outside the company's normal course of business. The current quarter includes a gain on sale of Pipeline Performance products business at $52 million, income from investment associates of $2 million and a gain of $1 million from the sale of plant equipment. The current quarter also reflects $3 million of restructuring costs as a result of the cost saving initiatives completed in the quarter, including the recently announced closure of a pipe coating [ph] facility in Argentina and a $6 million impairment charge. The annual results reflect the negative impact of $213 million of impairment charges, $33 million of restructuring costs and a loss of $2 million for Argentina hyperinflationary accounting. This was partially offset by income from investment associates at $10 million, a gain of $2 million from the sale of land and plant equipment and the gain from the sale of the products business. Adjusted EBITDA for the current quarter was $46 million, significantly higher than the $30 million report in the fourth quarter of 2019. The increase is primarily due to higher revenues in our pipeline and pipe services segment from a ramp up of execution of pipe coating work that is secure in the backlog and our automotive industrial segment driven by the recovery in the automotive market. The improvement also reflects the continued demand for retail fuel tanks in the composite systems segment and reduced SG&A cost. The decrease of $18 million SG&A is primarily due to the completed cost saving initiatives. The current quarter also benefited from receipt of COVID-19 related government subsidies of $6 million, of which $3 million was recording cost of goods sold and $3 million in SG&A expenses. Their prior year quarter was negatively impacted by $7 million of rework [ph] related to the quality issue at our Channelview facility. Adjusted EBITDA for the current quarter was $74 million, lower than the $136 million of the prior year primarily due to lower revenues discussed earlier, offset by lower SG&A costs as a result of the completed cost control and headcount reduction initiatives executed in the year. Adjusted EBITDA consolidated margin for the fourth quarter was 14% compared to 9% for the prior year fourth quarter due to the reasons mentioned earlier. The pipeline and pipe service segment margins increased to 10% from a negative 4% in the prior year quarter. The composite system segment decreased to 20% margin in the current quarter compared to 23% of the fourth quarter of 2019. The automotive and industrial segment margin increased to 21% compared to 17% a year ago. On an annualized basis, the adjusted EBITDA consolidated margin was 6% with automotive, industrial and composite systems segments having positive adjusted EBITDA of 18% and 17% respectively, partially offset by the pipe and pipe services segment being negative 1%. The company delivered positive cash flow on the quarter. Cash flow provided from our priorities [ph] for the fourth quarter was $10 million, a decrease compared to the $49 million provided in the fourth quarter of 2019. This decrease in cash flow is primarily driven by lower non-cash items and negative change in non-cash working capital. The change in non-working capital in the fourth quarter with a cash outflow of $19 million, which includes $2 million decrease in restructuring liabilities, compared to a cash inflow of $33 million in the same period of 2019. The cash outflow from working capital is primarily driven by higher accounts receivable in contract assets combined with lower accounts payable and contract liabilities, partially offset by lower inventories and prepaid expenses. On an annualized basis, cash provided from operating activities in 2020 was $444 million compared to $54 million in 2019. This decrease reflects lower adjusted net earnings partially offset by lower investment in non-cash working capital. Cash provided by investing activities in the fourth quarter was $106 million, reflecting $105 million from the sale of products business, $3 million in proceeds on the sale of property plant equipment and cash of $5 million from investment associates. This is partially offset by $7 million of purchases of property plant and equipment. This compares to $70 million [ph] used in investing activities in the prior year, reflecting $10 million in purchases of property plant equipment, offset by $3 million in proceeds from disposal of property plant equipment. On an annualized basis, cash provided by investment activities was $107 million, reflecting the sale of the products business mentioned earlier, $11 million in proceeds from the sale of property plant equipment, and cash of $14 million from investment associates, partially offset by $24 million of purchases of property plant equipment. During the fourth quarter, cash used in financing activities [ph] was $8 million, reflecting the payment of our quarterly lease obligations. This compares to $27 million used in the fourth quarter of 2019 that reflected a decrease of debt of $10 million, a payment of dividends of $11 million and a repayment of lease obligations of lease liabilities of $6 million. On an annualized basis, cash used in finance activities were $37 million, reflecting $23 million of lease payments and $11 million dividend payment in the first quarter of this year. Net cash flow for the fourth quarter and 2020 was $108 million compared to $16 million in the fourth quarter of 2019. 2020 cash flow was positive $116 million compared to a negative $119 million [ph] in 2019. With respect to cash and debt, the company has a cash balance of almost $215 million, debt of $433 million and $44 million of standard letters of credit as of December 31, 2020. In addition to the successful completion of the debt amendments [ph] during 2020, the company's liquidity position has benefited from exceeding its stated targets of $16 million sustainable annualized SG&A savings and $40 million in incremental cash generation. During the quarter, the company completed further actions to reduce the salary workforce, bringing the total reduction to over 22%. The company also announced the closure of one of its pipeline facilities in Argentina and further reduced capital budgets resulting in annual expenditures being limited to $24 million. As a result of these further actions taken and the sale of products business, the company expects its quarterly normalized and sustainable SG&A run rate to improve to approximately $60 million [ph]. It's important to note that this includes target incentive-based compensation. In the upcoming fiscal year, the company will continue to assess additional optimization actions including further reductions of its international operations footprint; the company also delivered positive cash flow year reflecting $31 million from reduced working capital, excluding the impact of restructuring liabilities, and almost $130 million from the proceeds of asset sales, including the products business. Based on the actions completed in plant, its diversified business and current backlog, the company expects to generate sufficient cash flows and have continued access to its credit facilities to fund its operations, working capital requirements and capital program. I'll now turn it back to Steve for some additional commentary on the company's performance and outlook.
Steve Orr: Thank you, Gaston. I'll first start with providing details on Q4 by segment. The pipeline and pipe services segment revenue is closely tied to the spending of exploration and production operators and transmission line companies. In reaction to uncertainty in both the supply and demand side of the equation, our customers have severely cut capital budgets, delayed decisions on large capital expenditures and move forward with strategic alternatives in the merger and acquisition space to gain scale and further reduce costs. As a result of these factors, our fourth quarter for this segment continues to experience depressed real-time demand. However, primarily driven by execution of project work that was in our backlog, the fourth quarter was certainly an improvement over the third quarter levels. Demand for small diameter pipe coating and girth weld inspections that are tied to North American drilling completion activity continued at near bottom levels with just a slight improvement over Q3. In Q4, secure project work for pipe coating and large diameter girth weld inspection move forward with very limited schedule interruptions. Pipe coating revenue increase seen in Q4 is a result of the commencement of project work in several additional facilities serving the offshore and interest markets during the quarter, including the start of the Payara project coating in our Veracruz facility. Two additional notes on revenue for this segment in the fourth quarter. One is the continued positive trend and demand from Q3 that we saw for our engineering consulting business, Lake Superior Consulting, driven by an increased focus on asset integrity in new and aging North America and midstream infrastructure and our customers' limitation to address this need, Lake Superior Consulting had another good quarter. And two, the sale of the Pipeline Performance product business on December 23 did result in a short month for our business that often has batch production and a strong end of month billing. The sale of the Pipeline Performance product business in the quarter was a transaction that considered the challenges of establishing synergies with other businesses within our portfolio and the opportunity to obtain full value. Additional positive for Shawcor from the divestment was the post co-strengthening of the balance sheet and a reduction in our enterprise complexity that will allow us to better focus where we have the greatest and largest opportunity to differentiate. The product business was part of Shawcor for many years and has a very dedicated and talented workforce. I truly wish all of them the very best as they move forward with Arsenal Capital Partners. We continue to make progress in the quarter on reducing the cost structure of this segment including initiating the shutting down of one of our two pipe coating facilities in Argentina. The closure of this facility was completed in early Q1. Including in this closure, we have reduced our pipe coating facility footprint by six fixed plants year-to-date. We are focused and we will continue our efforts in 2021 to maintain our positioning to serve our customers but with a much more cost efficient footprint. Specifically, we continue to evaluate our footprint serving international markets and additional plant closures on our plant [ph]. The composite system segment is influenced by two main elements. The first is demand for composite tanks and retail fuel markets and for water and waste water applications. The second element is the demand for composite pipe for upstream oil and gas applications in North America and increasingly international markets. In the fourth quarter, overall revenue for the segment was very similar to Q3 level. There was some mixed differences quarter-on-quarter with tanks remaining strong but lower than Q3 due to the start of the seasonal slowdown being partially offset by increased tubular [ph] sales in northwest and management [ph] business in Western Canada. Composite pipe sales remained depressed and flat with Q3 levels as our customers, primary the large capital EMP operators have yet to increase spending. In the last call, there was a question on the resiliency of the high demand we are seeing for composite tanks in the retail fuel market and how the forward-looking demand is influenced by tank replacement of age install base. A starting point to consider is that in 1988, the EPA introduced strict regulations governing the storage of petroleum products and hazardous materials and underground storage tanks. These regulations resulted in a significant number of underground storage tanks being replaced, leading up to the 1998 deadline for compliance. Considering the fuel industry and many state regulatory agencies widely considered the useful life of an underground storage tank to be 30 years, we are now seeing the replacement of these tanks installed following the EPA's 1988 regulations. Using available EPA data while the total number of underground storage tanks is expected to continue to decrease 1% to 2% per year as retail fuel locations are consolidated, the population of tanks exceeding 30 years is expected to grow at 3% to 4% each year for the remainder of the decade. Based on this, we fully expect that we have an extended runway of work ahead of us associated with the replacement of end of useful life tanks in the fuel market -- confident [ph] that retail fuel market demand will remain strong as underpinned by this aging tank runway and new tank purchases as convenience store operators consolidate and update stations. Composite in retail fueled demand coupled with the success we are having in our water and waste water strategy supports why we have high expectations and are excited by this business. The automotive and industrial segment results in the fourth quarter increased from what was delivered in the third quarter and were better than we had anticipated. The continued strong recovery from low levels we experienced in Q2 is benefiting from the return of demand for heat shrink products for automotive applications and the continued demand for wire and cable products from electrical utilities and communication providers. The better-than-expected results for the segment in the quarter was due to the absence of the fourth quarter seasonal slowdown that has historically been a signature of this business. Within the return of demand for heat shrink automotive applications is a newly visible positive impact coming from the transition to electrical drive trains from internal combustion platforms. This transition especially when considering that many new vehicle platforms are hybrid with to drive trains increases the addressable market per vehicle for heat shrink applications compared to a standard internal combustion vehicle. With continued low interest rates, recent increase importance of personal transportation, purchasing incentives and growing acceptance of electrical vehicles, we are confident that in 2021, this segment will recover to pre-COVID-19 levels. I'll now turn to Q1 in the full-year 2021. We anticipate in Q1 our financial performance will be solid and positive, but as I stated in my earlier comments, not yet the level of Q4 2020. Pipe coating activity and utilization were lower as we have several plans moving between projects and Q1 is seasonally low quarter for several businesses. This is the case for our composite tanks and engineering consulting businesses. Due to these factors, we expect that Q1 will be the lowest quarter for the company in 2021. Additionally, we have experienced supply chain and production interruption events from COVID and from winter weather experienced recently in Texas that has increased the likelihood that work will be pushed out of the first quarter. For the full-year 2021, we expect better than 2020 on an adjusted EBITDA basis. Quarterly performance will vary due to pipe coating project execution timing, yearly seasonal elements and corporate related events. In many ways, this outlook should be considered conservative as it does not fully consider the positive influence on our results that may come should our customers recalibrate their economics with recent commodity prices increases and benefit from government stimulus programs. Today, we are working with our customers as they revisit spending and project timing, acceleration of projects, or increased spending improves the opportunity is set across the whole portfolio. However, it is our businesses that are tied closely to North America upstream such as composite pipe and small diameter girth weld inspection, we are watching the closest for a near-term impact. In terms of project activity, our 12-month backlog as expected, fell to $453 million at year-end as we move to full production era of pipe coating facilities in Norway, Scotland, Mexico, Channelview and Kabil, and we did not anticipate any major awards in the quarter. There was also a small impact to the backlog from the sales of Pipeline Products business but by far the largest influence on the reduction was the pipe coating activity level in the fourth quarter. Backlog greater than 12 months has increased and work secured pending FID also increased and now is over $130 million. Work secure pending FID is included within our bid number and includes a large order for our Southeast Asia facility that is expected to be sanctioned in the second half of this year. In early Q1, we added another project to this category for North Sea development. Including the North Sea development, work secure pending FID today stands at over $160 million with all projects expected to be decided in 2021. Our bid and budgetary numbers, an indication of future opportunities has remained high at over $2.3 billion. Considering the addressable market has now been reduced with the recent product business divestment and our exit from the U.S. anti-corrosion market, this is a very positive number. Recently, there has been re-energizing a project execution discussions with our customers and as a result, there is an increased [ph] likelihood that Norway, Brazil, the Middle East, Mexico and Southeast Asia will provide opportunities for our pipe coating operations in the very near future. Of note, one region where we do not expect much for Shawcor in the near term is work associated with land pipelines in East Africa. As an overview, it should be expected that we will execute more work than awarded over the next few quarters and as a result, the 12-month backlog will continue to decline. However, in the second half of the year, backlog should be expected to step up as backlog over 12 months, work secured pending FID and work that we are currently pursuing is pulled into the 12-month backlog. Shawcor has a differentiated offering that is recognized for technology and execution certainty. We haven't focused on maintaining this differentiation while reducing our cost structure. I am very confident in the future of our pipe coating business as we move forward with a very focused offering and a strong opportunity funnel. And on that note, I'd like to turn it over to Mike to spend some time discussing technology. Mike?
Michael Reeves: Thank you, Steve. I'm honored to be a part of the Showcor team and particularly excited by the portfolio of high value technology-driven solutions this organization offers. Within Shawcor's pipe coating business, our unique combination of in house material science experience, application engineering and highly-reliable operational execution drive our technical leadership in offshore flow assurance coating. Showcor's flagship ULTRA pipeline insulation technology is considered the industry benchmark and enables our customers to achieve their flow assurance targets in challenging subsea environments around the world. Building upon this foundation, Shawcor is currently partnered with major operators and EPCs in multiple technical development projects to deliver even greater capabilities, including ultra high temperature flow assurance, cutting edge pipeline, active heating solutions, and increased deployment certainty. While we have narrowed our coating facility footprint, our unique technology capabilities ensure Shawcor continues to be a trusted partner to our customers and the delivery of ever-wider operating envelopes. Shawcor's automotive and industrial segment includes the highly-differentiated heat shrink technology portfolio of DSG-Canusa. DSG offers a unique combination of polymer based material science and application equipment technology to address a wide spectrum of needs within the automotive manufacturing market segment. Rapidly growing hybrid and battery electric vehicle production, demands heat shrink products capable of consistent performance in substantially higher temperature and voltage environments than traditional internal combustion engine vehicles with a premium placed on quality, reliability and installation accuracy. Shawcor's commitment to deliver both the underlying heat shrink materials and highly engineered patented, automated heat shrink application technology has enabled growth that continues to outpace this expanding market. Finally, within our composite systems segment, we are intensely focused on providing our customers with cost effective, corrosion-free and sustainable solutions, which help protect the environment while enabling a lower carbon future. One example of this is our composite pipe technology, a lightweight substitute for traditional steel pipe which has a dramatically lower manufacturing emissions profile and consumes substantially less energy to deploy. Third party data indicates that the carbon intensity required to produce and install steel pipe is at least one and-a-half times that of composite pipe. Looking at a standard six inch diameter product, emissions from steel manufacturing exceeds that of composite by more than 10 tons of Co2 equivalent per kilometer of pipe produced. To put this in perspective, for every pipeline kilometer where Shawcor's composite solution is used instead of steel, we are offsetting the emissions of an aircraft [ph] flying from Toronto to Calgary. I'll now turn it back to C for closing comments. Steve?
Steve Orr: Thank you, Mike. Before we open up for questions, I'd like to make the following points. Shawcor is diversified portfolio of late and early cycle oil and gas and non-oil and gas businesses provides a hedge that will benefit in these very uncertain times. Shawcor has a central book of work for execution over the upcoming 12 months and the work is holding firm. Additionally, we are starting to see recovery in many of our book and turn businesses and forward movement of large capital projects. Shawcor has taken and is taken the necessary and difficult actions to reduce costs and preserve cash. These actions includes the analysis and consideration of existing markets and divesting for businesses. And finally, Shawcor's future success continues to be underpinned by supportive long term fundamentals that will drive investment in energy, transportation and infrastructure. I'll now turn the call over to the operator to open up for questions you may have for Gaston, Mike, or I. Andrew, operator over to you.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Michael Robertson with National Bank.
Michael Robertson: Hey. Good morning, all. Congrats on the strong quarter and thanks for taking my questions. You guys really dial back the CapEx in 2020 and I was just wondering if you could maybe offer some guidance or bookends on where you maybe see that trending in 2021?
Gaston Tano: Sure, Michael. It's Gaston. I can happily do that. So, right now I think yes, you're right. That 2020 was a very low level of CapEx and one that we cannot maintain. As we look forward into 2021, we are expecting to return back to the levels that we communicate in the past for the company, which is around $40 million to $50 million. That would include maintenance CapEx on existing facilities, plus, investments in growth CapEx in our composite tank, in automotive business to increase capacity to meet current demand levels. And of course CapEx related to secure pipe coating products that we have. It's also important to note that there's low impact on maintenance CapEx from the closure of the facilities and the sale of the products business as those businesses had really old equipments and required very little low level of maintenance CapEx going forward.
Michael Robertson: Got it. Thanks, Gaston. That's really helpful. I was also wondering if you could maybe sort of ballpark quantify the amount of the products business that would have been included in the backlog prior to the sale?
Steve Orr: We don't, of course, speak to specific business contributions to the backlog. But what we're very clear on, there's two major components, which is pipe coating and of course, the legacy backlog that was always publicly recorded from the ZCL tank businesses in there. So what I can tell you is the major component of the backlog remains pipe coating, followed by ZCL and there's not a material impact from the removal of the products business.
Michael Robertson: Got it. Thanks, Steve. Last one for me, just to sort of wondering if maybe you could also ballpark how much of the cash or the proceeds from the products business sale you think will eventually be applied to the balance sheet specifically? Looking at your Q4 financials, you exited the year with a pretty heavy cash balance, I guess, just given how sort of close that sale was to year-end. Any sort of guidance you can offer on that front would be very helpful.
Steve Orr: Yes. I think important for us right now is to look at how much cash we need to fund the current operations. That would include both, the CapEx that I spoke about earlier, along with unexpected increase in working capital since we do have a seasonal build coming up in our composite tank business in automotive and industrial businesses, and some increase investment to match the increased demand that we have in those businesses. Hey, listen, we do expect increased activities in pipe coating and then also there could be a possible need in working capital requirements for the composite pipe business. I think that's first, we need to get that visibility or certainty of how much we require, the business requires before we start thinking about the debt side. As you know, we have completed amendments to things that gives us a debt relief and we have significant covenant relief all the way till the end of 2021. And then we will look at to see how much we will actually put down the debt and then of course, like always, the Board is always looking at share buybacks and dividends and survey notes [ph], but that needs to be really focused on sustainable earnings and sustainable cash flow.
Michael Robertson: Got it. So it's a sort of I guess a wait-and-see approach on that front?
Steve Orr: Yes.
Michael Robertson: All right. Well, thanks again for taking my call and appreciate the time and I'll turn it back.
Steve Orr: Thank you.
Operator: Thank you. And our next question comes from the line of Aaron MacNeil with TD Securities.
Aaron MacNeil: Hey, good morning, all. Congrats on the new gig, Mike. In the prepared remarks, you talked about 2020 being better based on a number of factors that I think included offshore pipe coating and the work awarded pending FID of $150 million. But can you realistically add offshore backlog at this point that would meaningfully convert the revenue in 2021? Or would new large project be more of a 2022 phenomenon? And can you also say how much is in the backlog that's beyond that 12-month time period, so we could think about the moving parts of the quarters progress?
Steve Orr: So to answer your first question, certainly and already as we come to the end of Q1, we're adding projects that will influence the revenue in 2021. So without question, there is work and as you recall in 2020, projects were ready to be sanctioned. And in some cases, contracts were let pending FID even on smaller ones to go. So yes, there is still work to be won that will influence our 2021 numbers in offshore pipe coating. The second question you had on what's outside of the 12 months. Right? So we don't give a number but I was pretty clear in my prepared remark, that it's substantially bigger than it was when we gave our Q3 numbers. So we have one work that is now influencing outside of 12 months and confidence that we have is that work with the discussions that we're having right now, there is an opportunity that it will be pulled forward, but certainly it starts to come in as the quarter starts to progress. So the magnitude, it's enough to move the needle in the current backlog but I'm uncomfortable to give you a number. Then the pending FID, which just to correct, the number is about $130 million and then we've landed another project that I expect will be more and more visible. We're under an NDA, so we won't, but it is a North Sea project, pushes it to about $160 million. Those projects will be decided in the second half of the year. And it depends on when the FID, but one project in particular could come into the fourth quarter. But right now in our forecast, we have it into 2022. So I think those were your three questions. Correct, Aaron?
Aaron MacNeil: Yes. I think you've covered it off. I was just trying to marry [ph] like -- the commentary in the backlog declining in the first half of the year and bumping in the back half of the year. So just trying to understand all the moving pieces. And I don't want to put words in your mouth. But it sounds like what you've got beyond 12 months is probably enough for that to play out as you expect. Is that fair?
Steve Orr: I think things that hedged my comment that I have confidence is for sure, the work outside of 12 months, we have confidence because it's booked. So we know when it will come in in the schedule. The second one, of course, is that we have line of sight of some awards that are coming that will influence the year, so those are the strongest ones. The ones that will really, really move the needle on backlog are in the secured pending FID and it's all about when those projects FID. So that's the one that I don't know yet. But as the commodity price strengthens, the risk of them not sanctioning or FID-ing becomes less and less, of course. Right?
Aaron MacNeil: I understand. As it relates to some of the items you talked about that are going to impact the first quarter, can you give us any sense of magnitude in terms of EBITDA impact? You talked about plants moving between projects, severe weather and seasonal elements. Can you give us any more targeted guidance on what that could look like in Q1?
Steve Orr: So, natural activity fourth quarter versus Q1, if you just look at the tank business alone and I think you can look at the historical performance and probably the tank business, it was not surprising for them not to contribute EBITDA in Q1, if you look at it. So, it's a substantial decline when you think of the commentary we gave you in the composite business where pipe is not really stepping up from Q3 to Q4. So it's that near levels. So you can imagine, if you just look at it and say, 'Okay, what happens if composite tanks is not participating in the Q1 in contributing to EBITDA?' It can go down maybe half of what we delivered in the fourth quarter. If you then think about, okay, projects move -- it's really too early for us to say because if we can get a strong month in March, we could take up a lot of the interruptions that happened between COVID and the storm. But I tell you, the storm affected not only our production to turn on the facilities, but the supply chain got rattled pretty bad. So some of our absorptions is going to be influenced because suppliers have put people on allocations to get through this short period of time before they can start again. So it's a little bit early, but I think it's a real number. Right? It's a material number that we can move into Q2. Now with that being said, I don't think anybody should be spooked because with the exception of some absorption issues, it's all going to -- the majority of it minuses absorption will move into Q3, Q4 -- Q2, Q3, Q4 will be higher because of it. So, I'm not overly concerned and besides the additional cost burden of having facilities that are shut down because of storm or we are having across the board issues where we have lines being halted because of COVID incidents. So that's revenue push, not an issue. So it can be material.
Aaron MacNeil: I think [Technical Difficulty] the one I forgot, the semiconductor shortage on the automotive and industrial segment; is that as like a meaningful impact to the to the business in Q1?
Steve Orr: Zero in Q1. We're seeing nothing from -- of course, let's see what happens as it turns out, but we are not calling it out for Q1 impact.
Aaron MacNeil: Got it. Okay. And then maybe final one for me, Gaston. The G&A in the quarter was below that forward run rate guidance of $60 million. So I'm just wondering, was there anything unusual in Q4 that would have positively impacted the G&A?
Gaston Tano: I think people need to understand with respect to the 2020 SG&A reflects basically a couple of things. Very little incentive-based compensation. Secondly is reduction of discretionary spending down to levels that we can maintain, along with wage subsidy on top of that. So if you think about it, you should be really looking at. We started the year, we expected, our run rate would include target incentive based compensation to be about $85 million. And then we communicate out that we were going to achieve $60 million of SG&A savings that would bring down our SG&A run rate target that we communicated $70 million. We are now forecasting next year to be at a lower level to $60 million and that additional $10 million of decrease, reflects half of that's coming from the sale of pipe business [ph]; so SG&A that related to the process and half from additional savings from our initial -- initiatives completed. So it's very important for people to understand that that includes targeted incentive based compensation. And the current year of 2020 had basically a very small amount related to that.
Aaron MacNeil: Okay, makes sense to me. I'll turn it over. Thanks, guys.
Operator: Thank you. Next question comes from the line of John Gibson with BMO Capital Markets.
John Gibson: Morning, everyone, congrats on a strong quarter here. Just first looking at margins and pipe coating is nice to see to move back into positive territory specific to Q1. I'm wondering, Q1 ‘21. I'm just wondering, given the plant closures and cost improvements, can we expect some improvements in margins relative to Q2 and Q3 of last year?
Gaston Tano: Q3 to Q2, I need to check. I think maybe just as a general comment, John in the pipeline and pipe services segment; we're becoming more and more comfortable with the margins because of lower footprint and the quality of backlog for pipe coating. I think the biggest for us is the realization is that as projects move, the margins will move quarter to quarter. But we really need some traction in the US land market, in particular, for the girth weld inspection business to have strong sustainable margins that we were targeting at 10% EBITDA. I guess some color on the previous period of time.
Steve Orr: I think the important thing John is to talk about is that, you know, we have made lots of reductions in cost there. So we do expect for, to be a pipe and pipe services segment to be positive contributors to EBITDA in the second and third quarters also. So, you know, I mean, it still depends, of course related to the timing of projects, and how they shift in the quarters. But I think it's important to note that we do expect positive contribution from the pipe services segment throughout to 2021. And, you know, it all depends on respect to volatility that gets created in the quarter to what extent that is.
Gaston Tano: I think that sounds comments, everyone should consider that if we don't have the tailwind of North American upstream project movements, quarter to quarter can move the margin substantially. But on average, we have general statements we expect to pay according to contribute positive throughout the quarters, but there could be substantial movement from one quarter to another. So for example, we're calling out Q1 when we look kind of add, we have some quarters that are going to be exceptionally strong.
John Gibson: Okay. Appreciate that. Sort of falling on that. Can you provide any guidance on closure costs for the Argentina facility in Q1 and maybe any other restructuring costs expected that hit this quarter?
Steve Orr: Again. Yeah, so the restructuring costs for Argentina, were booked in the fourth quarter as we that's when we announced it, we do expect as we continue to look at optimization of international footprint, that there could be further restructuring costs that we have in 2021. At this point, it's hard to give you an absolute number here, John, just because we're still finalizing our plans and continue to do our analysis of what makes sense. But you should expect as we continue to find opportunities to reduce further costs, but there will be some restructuring in 2021. But again, that will have further positive improvement in our SG&A run rate.
John Gibson: Okay, that's a good color. Thanks. Last one for me just looking at concerts. It looks like producers are kind of holding the line on spending in the near term, but are sort of indicating that we could see a ramp in the back half of the year. I'm just wondering if you share this view and if so, when could we expect to see a pickup in that segment?
Steve Orr: I think it's a great question because I think there's potentially a little bit of conflict in the discipline that operators are having to try to re refrain from increasing their capital budgets to what they're actually starting to communicate. So for us composite pipe in particular, is what we're watching as I made in the prepared remarks, the rig count is actually coming back nicely. But if you look at the operators that are asking are adding rigs or other the lower capital EMP, or private EMP companies that are adding it, our sweet spot are the larger capital, EMP operators, publicly traded. So the recent news that you saw where ExxonMobil and Chevron have highlighted that they're going to invest in the Permian and ExxonMobil, in particular is also highlighted the Ghana project, this is good for us.  But these large companies don't turn capital budgets increases or decreases overnight, so we're watching it very closely. As expected, we did not see an increase in competence from Q3 to Q4, we're optimistic that both some traction that we're gaining in international markets, and some tailwinds. And by the time we break out of Q2, we should start seeing some positive, unplanned support for the pipe business. But it's just too early for these guys to turn everything back on again.
John Gibson: Great, appreciate the color. I will turn it back. 
Operator: Thank you. And our next question comes from the line of Tim Monachello with ATB Capital Markets. 
Tim Monachello: Hey, good morning, everyone. I guess just a follow on question from Aaron's line of questioning around G&A. You know, it looked a lot lower than the run rate had been in the fourth quarter, and certainly lower than what you're going to guiding on average in 2021. Do expect a ramp up to that $60 million run rate from where you were in the fourth quarter? Or do you think that you have a sort of step change into 2021 to that level?
Steve Orr: No, I think the run rate that we expect is really the quarterly run rate starting in Q1 of 2021. Tim, again, I have to stress to you that this includes target incentive based compensation, and also doesn't have any benefits from COVID related, you know, wage subsidies that we don't expect much to receive anything going forward. But know that that is the new run rates. And I think, again, in the end, there's some, you know, bringing some discretionary spending back to kind of a new normal, albeit a much lower base. But, you know, we do expect to that what some of our discretionary spending that we aggressively cut to zero or n delayed, you know, there'll be some of that also.
Tim Monachello: Okay. The commentary around, I guess, international pipe coding projects, seems to have strengthened a little bit of commentary around some near term possibilities of awards. I'm curious if those awards would be outside of the conditional rewards. You know, there's a couple pieces of that conditional award that I can sort of pinpoint doesn't seem like there's much outside of a couple of large projects and the one that you mentioned in the North Sea. So what are you expecting to win some projects that go straight from outside the conditional work to backlog next few months? 
Steve Orr: Yeah, absolutely. There's still, this secure pending FID was something that came to realization in back in 2020, when projects were fully engineered, and the model changed where EPCs were doing the feed, and then they were in full place to do the construction right the procurement in the construction. So there continues to be the legacy model where you win work after FID, that still continues to be probably the majority of the opportunities, but there still is this ongoing link between EPC is doing the upfront work and securing the supply chain and the awards pending FID. So yes, both still are very, very visible. And as I mentioned with Aaron question, there is work that we are targeting to secure it, will go directly into backlog and as the real likelihood to influence the 2021 numbers. 
Tim Monachello: Okay. I guess that translates into an acceleration of awards from the commentary around Q3, which was, there's about a 12 to 18 month delay that you guys were seeing for project awards. Could you talk about how that acceleration is transpired and what you're seeing now?
Gaston Tano: Maybe I should clarify. Right? So we use this 18 months, this kind of pre 2016 was the kind of the life cycle of when we saw a project by the time we generated revenue and as you can imagine that that's moved to infinity in 2016, where projects were just killed, to kind of a combination of infinity. And we're going to push it off until we FID the project in 2020. So if you're asking me now, what is the timeframe by the time we engage the customer and I think what you're really asking is when it shows up in budgetary works through bid ends up in backlog and generates revenue. I don't think I can call it yet because we're still we're not back to any sense of normalization, what I can tell you is, it's kind of a unique environment, because projects that we are discussing, in most cases have already been thoroughly vented on the technical and engineering side.  So should the economics be attractive, they could be sanctioned, engineered and contracted faster than before, because the work has already been done and in most cases, because the combination of the operators holding the headcount and the EPC operator holding the headcount, because the contracting model has changed. You know, I have not seen the killing of projects that we would have seen in a 2016 timeframe, because the projects have still remained for lack of a better term warm. So I don't have a number for you. But it certainly is not back to where I can tell you it's 18 months, but I think the opportunity for it to be even quicker is there right, because these projects have been engineered.
Tim Monachello: Okay, that's helpful. And then my last question is just around the automotive and industrial segment. Clearly, the fourth quarter was very strong. I'm curious if there was a backlog of demand coming out of COVID. That made Q4 stronger than you'd expect going forward? And do you expect Q1, Q2 to be sort of at the same level or do you expect that to come down a little bit as that backlog of demand is worked through?
Steve Orr: So it's not just to clarify, because I think we don't want to send any confusion, the majority, and I think all very, I can't think of very much of a backlog in automotive. So it's really a kind of a booking term. Yeah, we have production schedules, but it's not like pipe coating where it goes to the backlog. So but in terms of visibility, there is certainly a component in Q3 and in Q4, where, because of shutdown and facilities and burning of inventory, there is a component of inventory restocking in the numbers. So I think that's, so Q4, it was a positive surprise for us as automotive industrial was so strong in Q4. Because if you look seasonally, Q4 is a low quarter and we are anticipating the same but there is a component of inventory restocking. But the other thing that's very, very clear, and we tried to make it apparent in the prepared remarks is the business is not the same. Because of the market accessible market as vehicles changes is bigger for.  And the business is quite interesting because we make the best margins on new platforms and as platforms start to mature, then procurement takes over who make less so that you know there is a function that and the other thing I would identify is that, like all of the company, we did not back off automotive, industrial, when we decided in 2020 that we were going to take cost out and I actually congratulate the management in those employees in automotive industrial because they took the opportunity to really look at could they lean out the organization and become much more efficient. So they've done a very, very good job, but I think there is a component in Q4 of call it catch up.
Tim Monachello: Okay, perhaps pent up demand is a better way to put that in backlog. But do you have a sense of -- I guess what inning you're in in terms of inventory restocking?
Gaston Tano: I think it's starting to taper out right. So we'll see it. Maybe we're maxed out in Q4, but I can't give you a percentage of the revenue because there's this other component of strong demand that is going to replace it. What I have been able to say is that in Q2, was the low point for the segment and we said in our Q3 call, we expected that it would get back to the 2019 rate in 2022. Now, we have the confidence that it's going to get back to the 2019 very strong rate at the top-line in in 2021.
Tim Monachello: Okay, great. That's very helpful. I'll turn it back.
Operator: Thank you. And our next question comes from the line of Keith Mackey with RBC Capital Markets.
Keith MacKey: Hi, good morning. Thanks for taking my questions. Maybe just to start, recently appointed Mike as President. Can you maybe just comment on some of the near-term priorities for the role and if there's any particular initiatives working on or is it mostly a mind the shop, kind of priority for the near-term?
Steve Orr: Absolutely not. So, I think adding Mike to the strength of the company and his expertise is critical. Yes, certainly, in helping us manage the operations in tactical, but Mike brings a wealth in experience and added bandwidth to the management team. As we get more and more confident that we've weathered the storm on what we're going to do next, where we make investment decisions, it's been a substantial workload for the company and the management team. And so Mike is a critical, tactical and strategic addition to the company and on top of that, as we announced, we should not shy away from Mike's skill set within the succession planning of the company. So without question, it's not minding the shop, not the job.
Keith MacKey: Got it, makes sense. Last question. Talked about your cash on the balance sheet and some of the priorities. Can you maybe just comment a little bit on what you view now as the right amount of leverage deck to EBITDA leverage to have on the business?
Gaston Tano: All right. I think that's a difficult one to answer. Ideally, it would be much lower than it is today. But of course, it's figuring out what is the sustainable levels of EBITDA that we can have and you know, we are moving our businesses to more stable type of businesses that aren't really affected by the volatility in the oil and gas markets. So it's very difficult for us to target something right now. Long term futures, again, I can stress that we do want to have definitely a lower leverage and we have, especially with the cash that we have on hand, and the improved performance in 2021, is that we will be in full compliance with our covenants as we exit the modification period. So, I think it's still early [ph] for us to figure out what the ideal level of leverage is going forward.
Steve Orr: Keith, I think, if you'll allow me to make maybe a soft off-the-cuff comment is, we are in a different position than we were in not that long ago and when you ask me and we kind of smile when you asked the question, is that there are certainly a level that we have to get to so people are able to sleep at night. And I'm smiling at Gaston here, we are now sleeping much better because of it. Now, once we get certainty as we go forward, then it gives us some options. But we are taking the volatility out of the business as we start to grow more and more, especially the non-oil and gas businesses. Primarily, automotive is a nice stable business.
Keith MacKey: Absolutely. Got it. Okay, well, that's it for me. Thanks. Thanks very much for the color.
Operator: Thank you. Your next question comes from a line of Matthew Weekes with IA Capital Markets.
Matthew Weekes: Good morning. Thanks for taking my question. I think I just wanted to focus on sort of the expectations specifically for the International pipe coating. Just based on the backlog right now, historically, the kind of year-end backlog would convert in the next 12 months revenue at a ratio of about 1.2 and in recent years, we've seen that fall off. Is the expectation for the year ahead that the backlog that's there right now will really convert more as that historical sort of above 1 ratio driving that strong performance there?
Steve Orr: No, I think the historical ratios don't mean much anymore. The backlog is less of a factor to the overall performance of the company. So we have more colored book and turn or [ph] reoccurring. What you can kind of come to summary of the backlog is, of course, it's going to be executed in the next 12 months. The backlog is absent of low margin, anti-corrosion U.S. land business in many cases. So it's a higher quality backlog, but I don't think the ratio of historical backlog conversion into revenue means -- becomes less and less of a factor in terms of the overall revenue that the company will generate, just because it's a lower percentage now.
Matthew Weekes: Okay, thanks. That's helpful. In terms of the kind of amount of book and turn that's international pipe coating work, are you able to provide any sort of color on that?
Steve Orr: Book and turn. A lot of the book in term that we would have gotten, what I mean is book end doesn't show up into the backlog. It would have come from the U.S. land anti-corrosion and Western Canada. So our project base is a majority of what will go through pipe coating. Now, of course, in the pipeline and pipe services segment -- there's also two other businesses girth weld inspection and the engineering consulting and that's all book and turn. So you can't really look at it -- just that pipe coating backlog for the pipeline pipe services segment. But pipe coating, because of the removal of U.S. land and the weak performance in Western Canada is primarily a backlog-driven business now for sure.
Matthew Weekes: So the book and turn, that's really mostly North America essentially?
Steve Orr: Yes, that's correct. Yes, there is some offshore girth weld inspection sometimes. But yes, it's almost all North America. Yes, correct.
Matthew Weekes: Okay, thank you. Given the expectation that backlog will kind of fall off and then increase later in the year and the confidence in those projects that are in the secure pending FID and then beyond 12 months, is it reasonable to expect that we could expect the Q4 procurement [ph] in that international pipeline and pipe services, there was about $130 million in revenue to continue on an annualized basis in 2021?
Gaston Tano: Again, it's hard to tell you that sense -- you're looking at a small segment of the pipe services -- not a small segment, but a segment of the pipe and pipe services segment. And really, it's really depending on timing of projects and over the quarter of things. But we do expect, again, as I stress, a positive contribution from the pipe and pipe services segments and that includes a pipe coating activity to be healthy during that time frame, along with the positive contributions that we see from the cost saving initiatives that we've implemented. So, we shouldn't be looking at this, solely on just a smaller set, a segment of the business here and just the international offshore. We do expect that to be to be positive and contributing, but it's also the higher utilization of the facility is going to be a big contributor of profitability in that segment.
Matthew Weekes: Okay, thanks. I appreciate the color. I'll turn the call back.
Operator: Thank you. Your next question comes from the line of David Ocampo with Cormark Securities.
David Ocampo: Good morning, everyone, and thanks for sneaking me in here at the end. I just wanted to circle back on your comments on automotive. You mentioned that there's no impact from the chip shortage and that you're looking to expand your footprint with some CapEx this year. So should we frame that as you guys are sort of running at full tilt right now and what should we think about the expansion opportunities? Is that just more equipment going into your facilities?
Steve Orr: Yes. Just to clarify, the semiconductor that we've called out, we do not expect it to hit Q1. We have no reason to be concerned. But I think if you look at the risks in which we put out, it is including that. It could influence the overall year, but we're not anticipating it. The capital that we're investing are in existing facilities. So of course we have three core facilities: one in Toronto, one in Germany and one in China. And the majority of the capital that we're putting in for equipment now is to address the changing market around electrical vehicles and without going in details, there are specific products that we make for electrical vehicles and the importance of terminations in particular. So we build the equipment ourselves and we are forecasting that we're going to be at an uncomfortable level of capacity based on what OEMs require. So they want to surge capacity and we're starting to bump up against that. So we're reviewing capital expenditures in real-time. Right now as Gaston has singled, we will put capital into the automotive business this year.
David Ocampo: And then just one clarification for me. You mentioned that it's a book in turn business, but I imagine it's the same type of automotive contract that all the other auto parts companies have where you win for the life of the platform. Is that is that correct?
Steve Orr: No, I don't think that's fair. So I think what happens is you usually are, even in automotive, you're identified as the platform at the beginning. And if it's not a major component, then supply chain takes over and they very seldom will single source. And then based on the multiple factors of reliability, service, delivery and price, your component of what you get of the platform changes. But I think any automotive supplier will tell you over the life of a platform, the procurement traction of getting additional suppliers and the influence on margin only goes one way. You can lose a platform in heat shrink, for sure.
David Ocampo: Okay, that's helpful. Thank you.
Operator: Thank you. And I'm showing no further questions. So with that, I'll turn the call back over to CEO, Steve Orr for any closing remarks.
Steve Orr: Well, thank you very much for everyone taking the time to attend the call and I look forward to myself, Gaston, Mike and Megan to speaking to everybody again as we conclude the Q1 quarter. So, thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating and you may now disconnect.